Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. Welcome to the Wingstop Inc. Fiscal Third Quarter 2018 Earnings Conference Call. A question and answer session will follow the formal presentation. [Operator Instructions] Please note that this conference is being recorded today, Monday, October 29, 2018. On the call, we have Charlie Morrison, Chairman and Chief Executive Officer; and Michael Skipworth, Executive Vice President and Chief Financial Officer. I would now like to turn the conference over to Michael. Please go ahead.
Michael Skipworth: Thank you, and welcome. By now, everyone should have access to our fiscal third quarter 2018 earnings release, which has been posted to the Investor Relations tab on our website wingstop.com. Please note that our discussion today will include forward-looking statements. These forward-looking statements are not guarantees of future performance and therefore, you should not place undue reliance on them. These statements are also subject to numerous risk and uncertainties that could cause actual results to differ materially from what we expect. Our recent SEC filings contain a detailed discussion of the risks that could affect our future operating results and financial condition. We will also discuss certain non-GAAP financial measures that we believe can be useful in evaluating our performance. The presentation of this additional information should not be considered in isolation or as a substitute for results prepared in accordance with GAAP. Reconciliations to comparable GAAP measures are contained in our earnings release. And with that, I would like to turn the call over to Charlie.
Charlie Morrison: Thank you, Michael, and good afternoon. As always, we appreciate your interest in Wingstop and your participation in our quarterly conference call. As noted in our earnings release, which hit the Wire a few minutes ago, our third quarter performance was exceptional. The continued strength in our business has once again allowed us to deliver on our shareholders’ expectations. With this momentum and the strong performance year-to-date, we are well positioned for 2018 to be our 15th consecutive year of positive same-store sales growth, an achievement we believe is unmatched in the industry. For the third quarter, total system-wide sales rose 15.1% driven by a 6.3% increase in domestic same-store sales and system-wide unit growth of nearly 12%. Consistent with what we’ve shared with you in our previous quarterly calls, our new unit development continues to strengthen during 2018 as our domestic franchisees accelerate their investment in Wingstop. During the quarter, we opened 27 net new restaurants and ended the quarter with 1215 locations worldwide. We remain confident in delivering strong unit growth driven by the momentum in the number of new restaurant commitment sales, as well as the healthiness of our existing pipeline. In our second quarter call, we told you that our third quarter-to-date comp was 4.5% and noted that the third quarter 2018 would be a tougher compared to the prior year. We were encouraged by the acceleration we saw in the comp for the balance of the third quarter largely driven by transaction growth resulting in 6.3% same-store sales growth for the full quarter. Our comp continues to reflect some above normal ticket growth, which we believe to be a transitory issue. We expect above normal ticket growth to be reflected in our comp until we lap the pricing actions taken by our franchisees late last year when record high wing inflation occurred. However, we are very pleased with the results of the transaction driving initiatives we put in place to mitigate the pricing. As you may recall, these initiatives we put in place to drive transactions included; leveraging digital advertising to promote our $0.60 boneless wings on Mondays and Tuesdays. The introduction of two versions of loaded fries and fried corn as new sides which replaced less popular, more labor-intensive options. And last but not least certainly, the launch of a $15.99 Big Night In Boneless Bundle, which was supported by national TV and digital media advertising. This marked the first time that we have leveraged our national scale for a product bundle like this. This transaction-driven momentum set the stage for our Annual Franchise Convention that we held in Las Vegas in early October. Our franchisees continued to express excitement and enthusiasm for the Wingstop brand. At the convention, we shared our strategy to leverage an additional 1% franchisee contribution to our advertising front and it was very well received. As we have previously noted, Wingstop’s current brand awareness levels are more than 20 percentage points below other large franchise restaurant brands. And as you move down, the brand strength funneled from awareness to purchase consideration, we are as much as 30 percentage points below that same group. We believe the implementation of the additional 1% in January 2019 will boost our awareness and aid consideration as we move through the calendar year. Our unit development and same-store sales growth in the third quarter translated to total revenue growth of 15.5% and increases in adjusted EBITDA and EPS of 23.3% and 31.3% respectively, demonstrating the strong flow through of the Wingstop model. The continued strong margins in our company-owned restaurants contributed to the increases in adjusted EBITDA and EPS. We benefited from over 1300 basis point improvement in margins at our company-owned restaurants due to favorable wing prices and leverage on labor and other operating expenses from continued same-store sales growth. At our Franchisee Convention, we discussed how franchisees were seeing similar margin improvements further fueling their positive sentiments. This margin improvement further enhances our best-in-class unit level economics. Our domestic target year one average unit volume per Wingstop is $820,000. We believe our franchisees can achieve a year two unlevered cash-on-cash return of approximately 35% to 40%. At our domestic system average unit volume of $1.1 million, these returns exceed 50%. These industry-leading returns are driving our unit growth and the reason that existing franchisees continued to reinvest and grow the Wingstop system. Existing franchisees comprise approximately 80% of the pipeline for new unit development. Our strategy for continued growth has been consistent since our IPO in 2015. Our plan to continue delivering industry-leading results over the long-term is predicated on four key long-term growth strategies. First, growing brand awareness as we accelerate our national advertising, furthering our digital expansion, the national rollout delivery and continued global unit expansion. We have already discussed leveraging an additional 1% of sales towards national advertising to take advantage of the opportunity to grow brand awareness. So let’s push more deeply into the other three key strategies. Revenue growth through our digital channel expansion is one of our key top-line drivers. Digital sales rose 360 basis points from Q3 last year to 25.4% of total sales for the current quarter. This was also 110 basis points higher than Q2 of this year, almost 80% of the entire domestic restaurant base now generates more than 20% of sales from digital channels, which is up from 75% in Q2. In addition to providing efficiencies within the four walls of the restaurant, our average digital check is $5 higher than our non-digital average check of just $17. Recall that about 75% of our business is takeout and a large percentage of orders still come in over the phone. So we believe that we have ample incentive and opportunity for further digital expansion. We continue to make progress against several initiatives that we believe will position Wingstop to continue to further drive digital sales. Our new custom built App and website is on schedule to start testing this quarter. This App and website will replace a third-party, white-label product that is currently in place and will provide an improved guest experience and will be optimized to support our national rollout of delivery. CRM, we continue to build out our CRM platform as we gather guest data that will position us for a more engaging interaction with our guests. Over time, this platform will integrate with the new App to serve up custom messages that we believe will drive higher engagement and check averages. Lastly, artificial intelligence-based voice ordering, we continue to work on natural voice recognition technology for orders that come in through the phone so that they could be converted into digital orders. These are just a few of the near-term technologies that we are working on. Others are down the road, but we are excited about the progress we are making here and long-term, we see no reason why our digital sales cannot approach and perhaps exceed the levels of some national pizza chains. Our goal is to digitize every Wingstop transaction. Next is delivery. We announced on our last call that we have completed the testing and validation to begin rolling out delivery nationally. As background, we have proven the market demand for delivery in 2017 and early 2018 in three test markets. In all three test markets, we experienced sustained mid-to-high single-digit sales lifts. We have been able to demonstrate that the lift in sales from delivery is highly incremental and profitable at the restaurant level. In fact, the profitability is further enhanced by the checklist we have seen in our delivery test which is even higher than the $5 average checklist that we see on ordinary digital orders. We started the national rollout of delivery this month by expanding to the Denver market, which has about 20 Wingstop restaurants. Denver was a logical next step for us because it presented a smaller, easier to manage market for validating our delivery playbook and it is a strong market for Door Dash, our third-party delivery partner. While it’s still early, we are very encouraged with the sales lift and early indications of incrementality in the Denver market, which is performing similar to what we experienced in our three test markets over the past year. In November, we anticipate launching delivery in the Los Angeles market, our largest domestic market from a restaurant count perspective. Following a successful launch in Los Angeles, we plan to add delivery in the Houston market bringing us to roughly 25% of our domestic footprint offering delivery by the end of 2018. We are excited about the potential impact to delivery, which we believe will only further strengthen the unit level economic while driving top-line sales growth and profitability for our franchisees. We believe the space, market-by-market approach to our rollout of delivery would help us ensure that we deliver on our guest expectations while introducing new guests to the Wingstop brand with a great initial experience. We believe by the end of 2019, we should have delivery available to over 80% of the domestic system. Finally, we continue to grow our global footprint, and as we make progress against our vision of becoming a top-10 global restaurant brand, from an international perspective, we opened eight restaurants during Q3 and 24 restaurants year-to-date ending the quarter with 130 international restaurants in nine countries. With chicken as the most highly consumed protein worldwide, and the flexibility of our model, our brand is highly portable to markets across the globe. Within the next few weeks, we are scheduled to open our first Wingstop in London with new market openings in France and Australia following in 2019. Our focus over the near-term is to ensure that we make the right investments and resources to ensure these new markets open successfully. One item I wanted to mention that will be reported in the fourth quarter results, is a conscious decision made during the third quarter to sever our relationship with our franchisee in the Philippines and exit the market. Although we generated a lot of fans in the Philippines, and multiple successful restaurants during our four year history, our ability to delivery sustainable growth was in consulate with our franchisee’s overall plans for other businesses. While this market represents one of our early market entries, we do not believe that the Philippines is a priority market for our global expansion and add its full potential would represent less than 1% of what we believe is our broader international opportunity. Thus, we decided to focus our resources on higher priority markets. So by the end of October, we will close the 11 Philippine restaurants, slightly bringing down net new unit growth from our previous expectation of 12% to approximately 11% for the fiscal year 2018. We do not have any other situations similar to the Philippines and remain confident that we have the right partners in the right countries as we continue our growth journey overseas. When you combine the long-term international development opportunity with our domestic footprint, a roughly a third of its potential, we believe there is a significant runway for growth in front of us. We will build upon what we have already accomplished across the four key strategic priorities of national advertising, digital expansion, delivery and global developments. We believe Wingstop is truly a brand in a category of one. We lack a true competitor and have multiple long-term sales drivers and enjoy a significant amount of white space for our continued growth. The strong growth of our business is one that is executed in an asset light, shareholder-friendly model. As you likely saw in our last – in our release last week, we are in the process of pursuing a securitized financing to refinance our current variable rate debt. Michael will elaborate further but our second refinancing within 2018 is a true demonstration of the strength of our model. To our knowledge, Wingstop’s track record is unmatched in our industry at such an early stage of being a public company. We believe that the continued strength of our domestic economic model and the opportunity we have with our emerging international business demonstrates the promise of our vision of becoming a top-10 global restaurant brand. With that, I will turn it over to Michael.
Michael Skipworth: Thank you, Charlie. Before I walk through the numbers, I would like to remind everyone that our financial results reflect the new accounting rules around revenue recognition that became effective at the beginning of this year. Our prior year results have been revised to reflect this change, so that you can compare apples-to-apples. Total revenue for the quarter increased 15.5% to $38.2 million. Royalties, franchise fees and other increased $1.9 million, driven by our 124 net franchise restaurant openings since Q3 of last year and our 6.3% same-store sales growth. As Charlie noted earlier, our comp for the third quarter included both increases in transaction count and an increase in average transaction size. We grew our total restaurant base by 11.7% since the third quarter last year. This quarter we added 27 net system-wide restaurants including eight international openings. We ended the quarter with 1,215 restaurants, of which 130 are outside of the U.S. Our company-owned restaurants continued to deliver strong financial results. Sales grew 22.5% or $2.2 million for the quarter. $1.5 million of the increase is associated with three opportunistic acquisitions we made in the Dallas market earlier this year. The remaining increase is driven by same-store sales growth of 5% in our company-owned restaurants. This same-store sales growth was driven by both an increase in transactions and an increase in average transaction size. Cost of sales decreased as a percentage of company-owned restaurants sales by 1,300 basis points. The decrease was primarily driven by a 970 basis point reduction in food, beverage and packaging costs due to a 30% deflation in wing prices compared to Q3 of last year. Also contributing to the margin improvement was a leverage we obtained in labor cost and other operating expenses as a result of the same-store sales growth at our company-owned restaurants. As we look at the balance of the year, the outlook for wings remains favorable for Q4. Although, deflation is expected to moderate from what we experienced in Q3 as we cycle over the decline in wing prices that began in October of last year. Wing deflation in Q4 is expected to be mid-to-high single-digit range. Advertising expenses were $8.4 million for Q3, compared to $7.7 million in the prior year. Under the new accounting guidance for 2018, advertising expenses are recognized, at the same time the related revenue is recognized, which does not necessarily correlate to the actual timing of the advertising spend. Selling, general and administrative expenses in the quarter increased to $10.3 million from $8.1 million in the prior year. The $2.2 million variance is primarily driven by payroll and benefit expense related to headcount investments, along with an increase in stock-based compensation expense. Depreciation and amortization increased to $1.1 million in Q3 2018 from $0.9 million in Q3 2017. The increase is largely due to the additional amortization expense related to the reacquired franchise rights resulting from the acquisitions of franchised restaurants. Adjusted EBITDA, a non-GAAP measure, increased 23.2% to $12.2 million. Note the reconciliation table between adjusted EBITDA and net income to most directly comparable GAAP measure included in our earnings release. Net income increased 33.8% to $6.3 million while diluted earnings per share increased 31.3% to $0.21 per share. As of the end of the third quarter, we had cash and cash equivalents of approximately $3 million and $215 million in debt. Our net debt to trailing 12-month adjusted EBITDA stood at approximately 4.5 times, which is down over a full turn from the recap we completed in January of this year. We paid a $0.09 per share quarterly dividend during Q3 reflecting our ongoing commitment to return capital to stockholders on a regular basis. Our Board of Directors has also authorized our next quarterly dividend of $0.09 per share which will paid on December 18 to stockholders of record as of December 4. We have been evaluating the interest rate outlook with our Board of Directors and last week, we announced our intention to refinance our existing variable rate credit facility with a new securitized financing facility expected to be comprised of approximately $300 million of fixed rate, senior term note and $25 million of senior variably funding notes. We intend to use the proceeds to repay our existing debt, pay transaction cost associated with the refinancing and for general corporate purposes which may include a return of capital to shareholders. While subject to typical market risk, this refinancing transaction is anticipated to close in the fourth quarter. Now turning to our financial outlook, we remain confident in our long-term targets of low single-digit same-store sales growth and a 10% plus system-wide unit growth. Based on the company’s year-to-date performance for the first 39 weeks of 2018, and the momentum in the business, we expect fiscal year 2018 results to exceed our long-term targets. Additionally, for the fiscal year ending December 29, 2018, the company is updating fully diluted adjusted earnings per share to approximately $0.85, compared to $0.80 previously. A reconciliation of diluted earnings per share to adjusted diluted earnings per share is included in or earnings release which reflects 29.6 million diluted shares outstanding. This estimate is comparable to fully diluted adjusted earnings per share of $0.69 for fiscal year 2017, which has been restated to reflect the new revenue recognition standards. Fiscal year 2017 included a benefit of $0.08 to adjusted earnings per share associated with excess tax benefits for stock option exercise. The company’s 2018 guidance includes a benefit of $0.06 to adjusted earnings per share due to excess tax benefits realized in the first three quarters of 2018. Thank you all for being with us this afternoon and we would now be happy to answer any questions that you may have. Operator, please open the lines for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from the line of Jeffrey Bernstein with Barclays. Please proceed with your question.
Jeffrey Bernstein : Great. Thank you very much. Two questions. Just one on the unit growth outlook. Charlie, you mentioned, things seemingly accelerated through 2018. In the Convention it sounds like it was quite bullish. I am wondering in the conversations with franchisees whether it came up. But all in terms of concerns of the rising construction costs so the increase in borrowing rates was kind of two areas that we are hearing concerns maybe from the franchise models that maybe there should plan enough available capital for sustained 10% plus unit growth in 2019 that Michael just referenced. And then I have one follow-up.
Charlie Morrison: Well, yes, let me address those real quickly. I think the sentiment was quite strong. We have not heard any feedback related to either the cost of construction or the interest rate being a challenge for our franchisees to access capital or as deterrence to opening new restaurants. As we noted in the call, script that we definitely have seen an improvement in the pace of new restaurant signings over the last quarter-and-a-half and expect that to continue as we go into the back part of the year.
Jeffrey Bernstein : And then just on consumer sensitivity. Assumingly your results are quite strong and exceeding expectations, that the consumer environment were to slow, like how you go about assessing your brand elasticity? I know a couple of quarters ago, you guys were talking about maybe being concerned of the 3% plus price increase maybe leave the short-term traffic erosion. So obviously you are cognizant of a certain amount you can take on from a price increase perspective. I was wondering how you think about your elasticity of things would flow, whether that’s balance of value versus premium, anything you’ve assessed in terms of assessing your consumer?
Charlie Morrison: Yes, sure. A timely question, especially given the performance we had in Q3. If you look at the impact, the bundle that we did during the third quarter had on our performance, it did a great job of increasing frequency amongst our core guests. And so, we’ve noted for a while if you remember then since back at the election outcome back in 2016 when we had a tough quarter and rebounded from that with our national advertising, we actually have started to see a nice increase back from our core customers and that bundle really drove it and of course it was at a great value at $15.99. So our core customer recognized that and really increased their purchase rate. We think that’s a great testament to the brand’s ability to react to some tougher environment. And as we noted, our franchisees took a lot of price at the last half of 2017. So, putting this particular bundle in place and then leveraging our national scale and advertising to actually promote that bundle, turned out to be a great demonstration of the resiliency that we have with Wingstop.
Jeffrey Bernstein : Great. Thank you.
Charlie Morrison: You are welcome.
Operator: Our next question comes from the line of David Tarantino with Robert W. Baird. Please proceed with your question.
David Tarantino: Hi, good afternoon and congratulations on such strong results. The question I have is really on the comp trend exiting the quarter and I think Charlie, you called out a few factors. One of them being the TV advertising campaign around that bundled promotion and if I am not mistaken, I think you ran higher media rates around that promotion. So, I was wondering if you could just elaborate on what do you think you learned about the media rates and the purchase to the advertising and how that informs your strategy as you move into next year with the extra marketing spending.
Charlie Morrison: Sure. Certainly, the promotion and the increased media rates did have an impact. We raised our rates to above a 100 TRPs in some cases up to 120 TRPs which was generally up from anywhere from 70 to 90 TRPs which was our previous approach and we consolidated some of those together which really fits with what we expect to do in 2019 when we add the incremental 1%. We believe that in order to really breakthrough and to meaningfully raise awareness which, as you know is our core objective with the increase in our advertising spend, but this was a great way to demonstrate that we could really move the needle in a short maybe compressed period of time. And so now, as we exited our convention, spoke with our franchisees about the impact that that 1% could have I think this quarter barring the bundle that we promoted is a great demonstration of being able to expand our media presence beyond just our core customers, but also now, shifting our media strategy slightly so that we can expand into customers who really don’t know much about Wingstop and convert them into users of our brand. So, I think we left the quarter very confident that the 1% is the right decision for the brand going forward and as we get closer into 2019, we will start talking a little bit about how that will manifest itself.
David Tarantino: Great. And then, one question, Michael. On the guidance for this year, does that assume the type of momentum that you saw in Q3 or at the end of Q3 continues in Q4? Or is there a different assumption underlying that EPS target?
Michael Skipworth: No, I do think there is a little bit of an underlying momentum assumption there. Obviously, as we look to kind of what we are running against from Q4 of last year that compares are a little tougher. But I think it’s a good indicator, David.
David Tarantino: Great. Thank you.
Charlie Morrison: You are welcome.
Operator: Our next question comes from the line of Jeff Farmer with Gordon Haskett. Please proceed with your question.
Jeff Farmer: Great, thank you. You guys believe you are coming up on the one year anniversary of delivery in the Chicago market. I am just curious what changes you’ve seen over the year in terms of how the consumer is using delivery? Has the delivery mix been relatively stable? Have you seen it build slowly? Any information on how that year has sort of evolved would be helpful?
Charlie Morrison: Hello, Jeff. Yes, we have seen that mix has not only sustained, but we have actually seen a slight uptick in a couple other markets as we’ve surpassed that one year mark which is a great indication that as people become more and more aware of delivery at Wingstop and I would argue delivery in general, I think that’s going to be a benefit to our brand. I will say though that, aside some incremental media primarily through radio and digital themes when we launched the product, we’ve really supported it with very little marketing effort. And so, as we look forward, we are going to continue with that same approach until we get to a scale position where we can leverage our national scale to support delivery long-term. But I – we are very encouraged. As we mentioned, the Denver market came out of the gate very consistent with other markets we’ve seen and we would expect that in other strong markets for Door Dash, like Los Angeles and Houston, we would expect to see similar results going forward.
Jeff Farmer: Okay. And just one quick follow-up on that, you mentioned scale, so from – leveraging your scales at 60%, 70%, 80% of the system, where do you see the tipping points for scale?
Charlie Morrison: Yes, I think it’s got to – our goal would be to get to 80% level rolled out in 2019 before we made any sort of meaningful change in our advertising strategy. And quite frankly, we’ve got a lot of work to do as we noted in just raising awareness of the brand and then, moving people that are aware into consideration. And so, our marketing team is working very hard to work on those two key areas first and so, I think we will see delivery rollout, I guess, if you will in a soft manner before we actually apply any sort of meaningful advertising behind it.
Jeff Farmer: All right. Thank you.
Charlie Morrison: You are welcome.
Operator: Our next question comes from the line of Matthew DiFrisco with Guggenheim Securities. Please proceed with your question.
Matthew DiFrisco: Thank you so much. I wonder if you could just give us a little bit more granularity sort of how that your price should roll off in the fourth quarter, specifically with the franchisees and then, if there is anything – any price being considered now or anything that just could move on maybe inter-quarter as well maybe in the markets that have a little bit more labor pressure.
Michael Skipworth: Hey, Matt, it’s Michael. I think as we think about the pricing actions that were taken by our franchisees in 2017, we will really start to lap those in the back half of Q4, late Q4 really. And then as far as any sort of specific other pricing actions, there is nothing within the quarter to highlight. I do want to remind you that when we think about our long-term algorithm of growth for the business it becomes to same-store sales in that low-single-digit same-store sales growth target of ours. We do contemplate that including about one or two points of price.
Matthew DiFrisco: Okay. And then, I guess, if you were around 4% or so in this quarter, is that still sort of the mark? And then three of that rolls off middle of the fourth quarter or the back half of the fourth quarter?
Michael Skipworth: Yes, I think that’s directionally accurate.
Matthew DiFrisco: Okay. Thank you.
Operator: Our next question comes from the line of John Glass with Morgan Stanley. Please proceed with your question.
John Glass : Thanks very much. My question is on the unit economics and development. Charlie, you’ve talked about 35% to 40% returns for a while, but sales are better, but more importantly margins, just given wing costs are significantly better. So is that a real number today or a return significantly higher given where wing prices are, maybe how labor cost sort of offset it. So, 35% to 40% is still the right effective number. Given those unit economics, you were still sort of behind last year’s pace from a development standpoint domestically, is that just a – it’s more fourth quarter loaded this year? Do you think you end up in the same place with absolute number of units opened in 2018 versus 2017 for example?
Charlie Morrison: Hi, John. Yes, I think couple thoughts here. One, as it relates to the unit economic model, the way we look at that is on an average year or an average over a year. As you know the wings can be volatile in terms of that commodity is impacted at any given point through a year. But certainly in 2017, those returns were stressed based on the strong wing inflation and this year, where we’ve seen some deflation, it certainly is helping margins and therefore improving the returns. But the way we characterize those returns is over the long haul. Is that 820 going into $890,000 second year average unit volume still delivering a consistent cash-on-cash return and we believe it is. As it relates to the cadence of openings, I think we have noted throughout the year that we expected the latter part of the year to be where our strength was in achieving that goal and as we noted, net of the Philippines decision that we made and e are still on pace for that 12% unit growth year-on-year. So, yes, we have great clarity into our pipeline for the fourth quarter.
John Glass : And just on delivery, one, in your test markets so far, what’s the split in terms of sourcing orders from your APP versus Door Dash’s App? And are you doing some work on yours maybe that changes over time. Two, are they new to the incremental, but are they really new customers? And three, do you get data sharing, so we know if orders are coming through third-party App who your customers are?
Charlie Morrison: Yes, so, in order, on the sourcing side of it, most of the customers typically, it’s been about two-thirds of a guest come in through the Wingstop App. And I think it’s important what you noted that we are rebuilding that App and expect to launch it at the end of the year, first of next year, we are going to change completely the presentation to our guests and so that they start with the decision between delivery or carryout as the first choice and then work their way through a much, much more engaging user interface that has fewer clicks and scrolls than what we had before. So we do believe we can continue to improve that. But as of today, two-thirds from us, a third from Door Dash. As it relates to new customers, we do believe and we’ve learned this from research and the piece of business as well that you have really distinct customers that are carryout customers versus delivery customers. There is only about a 15%, maybe 20% overlap and if you look at the results we’ve seen so far, it would suggest that at an 80% or so level of incrementality that these truly are new guests that are coming in the door. We can also measure that by looking back at information about these guests to see if they leverage Wingstop before for a carryout order using our digital means. And then, if you think about those new customers from a data sharing perspective, again, the majority of them are going to be customers that data we own. But we certainly will share information with our partner to ensure that we clearly understand who that guest is, but we technically don’t own that customer in that transaction if it comes through a secondary source.
John Glass : Okay. Thank you.
Charlie Morrison: You are welcome.
Operator: Our next question comes from the line of Will Slabaugh with Stephens. Please proceed with your question.
Will Slabaugh : Yes, thank you. I just had a question on value. It seems like there was a pretty strong response to both the $0.60 bonus promotion as well as the $15.99 bundle. What does that tell you about there being potentially more room can fry that explicit value message either on the menu or putting it out on promotion form like this? Or would you maybe think about using this a little bit more frequently or do you prefer to use it sparingly?
Charlie Morrison: Yes, it’s a great question and one we’ve talked about a lot internally. I think it’s a great demonstration that when needed, a value offering works quite well to bringing back frequency amongst our core guests which I mentioned before. Our frequency did increase. I think, over time though, what we are going to continue to do is execute our playbook which is all about driving awareness and then improving consideration amongst those who are aware of our brand, so that we can drive net new customers into our business day in and day out while still providing a great value already. But in a time like this, where we needed that bullet in the gun, we have it which means that we can be very careful and thoughtful about using that again as necessary. And I think that’s going to be the way we are going to approach it and it’s in the way we’ve approached it for many years before.
Will Slabaugh : Got it. And can you briefly talk about impact that you saw either through TV or digital or if you have much of a means to measure the impact that one or the other?
Charlie Morrison: I am not sure I clearly understand the question, maybe you can help me there.
Will Slabaugh : Sure, so, so, I guess the – as you saw it, if one was more impactful than the other. As you said multi-dollar don’t – digital dollars and digital price?
Charlie Morrison: I see, just between digital versus TV. TV is always going to have a greater impact and you can generate a lot more awareness and although people talk about the fact that maybe watching, television watching is down, it’s not so meaningfully down that it would be replace wholeheartedly by digital. But, certainly from an return on investment, it’s much easier to track the digital stem. But I think still from an awareness generation and conversion opportunity TV becomes or still remains the best opportunity for us.
Will Slabaugh : Thank you.
Charlie Morrison: You are welcome.
Operator: Our next question comes from the line of Andrew Charles with Cowen and Company. Please proceed with your question.
Andrew Charles: Great, thanks. Charlie, just to follow-up on an earlier question. The upgrade App and website that you are testing, assuming that has no kings, did you say that that could rollout just a while sometime in the first quarter?
Charlie Morrison: Yes, our target right now is, right at the beginning of the year, assuming, to your point, well said, no kings, but we are in the testing process of that currently.
Andrew Charles: Got it. Okay. And then, my real question was that, in the spirit of improving brand awareness, would you expect to start putting 2019’s increased marketing contribution to work through elevated TV advertising ahead of the Super Bowl or afterwards?
Charlie Morrison: Most likely, afterwards. We are typically trying not to do too much media before the Super Bowl. It’s a strong time a year for us, stronger volumes and so, we’ll usually wait till after the Super Bowl to do anything.
Andrew Charles: Okay. And then, Michael, what’s the assumed closing date on the new debt facility with an EPS guidance? And I was wondering if you could give us a sense for the industry to range for the new fixed facility? And if it’s fair to assume that the interest rate on the floating notes is expected to be in line with the L Plus 275 on the old facility?
Michael Skipworth: Yes, Andrew, I think, obviously we included information about the securitization in our release last week and we expect it to close in Q4 and I think once we – obviously, we were subject to market conditions and closing the deal. But, I think we’ll have more details to come on that in the near-term.
Andrew Charles: Thanks guys.
Charlie Morrison: Thank you.
Operator: Our next question comes from the line of Jake Bartlett with SunTrust Robinson Humphrey. Please proceed with your question.
Jake Bartlett: Great. Thanks for taking the question. Charlie, just on unit growth, you’ve mentioned the 12%. It just looked a little bit less than, I think the last time that you mentioned was 12% to 12.5%. So, I am wondering whether that’s coming from domestic or international, just a minor takedown or whether you’d actually frame it that way? And then, I’m thinking about how understanding that the higher wing prices impacted the wallet of same-store sales impact the development this year. I guess, I would have thought you would been picking up maybe little quicker than it has, but how comfortable are you with the 2019 pipeline and that it’s going to be a little more balanced in terms of the cadence.
Charlie Morrison: The cadence is always going to have a strong fourth quarter that’s been consistent for us for a long time. We noted earlier in the year that we expected the cadence to be softer during the middle part of the year because of the impact that the pipeline has. But, I think, with the unit development pipeline, you have to be thinking almost up to a year out as it relates to refilling it and growing it. But as I noted on the call, we are very confident that we are seeing a really nice uptick in deals sold, as well as filling the pipeline especially as we look into 2019. A lot of which is fueled by strong comp growth as we’ve seen and certainly prolonged and sustained improved unit economics through the reduction in wing prices. So, this is something we’ve seen in the past and I don’t expect that to change too much compared to a cadence from a typical year prior to 2018. So, we do expect that we’ll always have a strong fourth quarter. But we do feel very good about this fourth quarter coming up. As I mentioned, we have great visibility into it and we also have a lot of visibility into the first half of 2019, as well.
Jake Bartlett: Great. And I am hoping you can help out with G&A. Costs were up more than I think were last year in 2018. How should we think about that? Was there something in 2018 in G&A like incentive comp or something that boosted the growth rate that won’t be repeated kind of on a year-over-year growth rate going forward?
Michael Skipworth: That’s a good question, Jake. This is Michael. I think, really what you are seeing there or us making some very intentional investments in G&A to support a lot of these long-term growth drivers. One example I’d highlight specifically is, as we decided to accelerate the timing around rolling out national delivery, there was some G&A investment needed to support that growth. And so, I think as we look out over the near-term, obviously we are not going to get into 2019 here, but I think you could expect a little bit of incremental G&A investment as we position ourselves to leverage some of these growth drivers that we have in front of us.
Jake Bartlett: Great. And then, lastly, you talked about the 80% target for the delivery for the system. When do you think you are going to hit that? You are going pretty – it seems you are growing pretty fast for the remainder of fourth quarter here, but is that a more of a mid-2019 sort of target or really is that year end of 2019?
Michael Skipworth: Yes, I think it’s still towards the end of the year, keeping in mind that, with the addition of Los Angeles and Houston, we’ve added two very large markets that take up a big percentage of the system. From here forward then, market-by-market, those percentages get a little tougher with the exception of Dallas and maybe San Antonio which will come along, that would air towards the back half of the year before we hit the 80%.
Jake Bartlett: Great. Thank you very much.
Michael Skipworth: Yes.
Operator: Our next question comes from the line of Chris O’Cull with Stifel. Please proceed with your question.
Unidentified Analyst: Hey, good afternoon guys. It’s actually Mitch on for Chris. Just on delivery, Charlie, could you just, the changes the stores will experience as delivery is implemented?
Charlie Morrison: Yes, it’s a couple of things really procedurally. A modification to our strategy for how we package product to separate French Fries from the rest of the order and then very simply just a change in procedure on how we cook our French Fries and I’ve been asked this question before. Why don’t you just go ahead and make that procedural change everywhere? Part of it is because we want to make sure that we train it in properly. So that happens and then, really just an education and awareness to how to treat delivery orders recognized when Door Dash shows up and a reinforcement of done right and on-time, the two key measures for the highest level of customer satisfaction.
Unidentified Analyst: Okay, okay. And then, I know the company’s new CMO has been on the team now for a few months. So, I was hoping you could elaborate how you see the company using national promotions moving forward? Thank you.
Charlie Morrison: Yes, I think, I’ll reinforce the comment I made earlier that although we did a promotional message with this bundled boneless product in the third quarter, we will continue to leverage brand awareness and brand-driving events into the future. So, I don’t expect to see a lot of promotional advertising. What will say is, we are very excited and our franchisees left our convention very excited about these strategies that Maurice has in place for the coming year to leverage the additional 1% and we’ll talk about those more as we get into 2019.
Unidentified Analyst: Great. Thanks guys.
Charlie Morrison: You are welcome.
Operator: Our next question comes from the line of Karen Holthouse with Goldman Sachs. Please proceed with your question.
Unidentified Analyst: Hi, this is actually Garrett on for Karen today. With regards to the positive commentary on the unit growth pipeline, could you guys talk about little bit about sort of the openings in core versus non-core markets? Or anything else to call out in terms of results for the certain regions? Thanks.
Charlie Morrison: Yes, I think it’s very similar to what we’ve experienced over time. The mix between core and non-core or emerging in new markets – existing or new markets is not the same as it always has been. There hasn’t been a mix shift change. Really, it’s just been a pacing of the openings and the slowing, if you will, that we’ve seen in Q2 and Q3 now is starting to accelerate back in Q4.
Unidentified Analyst: Great. Thanks. And just one more. Anything to call out for weather in the quarter? Thanks.
Charlie Morrison: No, no call outs for weather that meaningfully impacted anything in the quarter.
Operator: Our next question comes from the line of Peter Saleh with BTIG. Please proceed with your question.
Peter Saleh : Hey, great. Thanks and congrats on the quarter. I wanted to ask about traffic. I think you guys mentioned a couple times that the $15.99 bundle with the advertising drove frequency of your core guests. Did you also see, specifically with that promotion, or what else you are doing? Are you also seeing new customers being attracted to the brand or do you feel like the incremental contribution to the ad fund in 2019 is designed to drive new customers to the brand?
Charlie Morrison: Yes, I definitely think we saw new customers to the brand. But I think the more meaningful increase was a frequency-driven event with our core customers based on this bundle and again, people were aware Wingstop understood the bundle, saw the value and converted. But I will say, to the point that Michael made earlier, on a year-to-date basis now, the brand is experiencing positive transaction growth and we did experience positive transaction growth during the third quarter. So, not only did we see an increase in frequency. We did see some increase in what we believe our new customers. It’s a little early to tell because you need the research to follow that up and defend on that position. But I think the anecdotal feedback has supported that.
Peter Saleh : Great. And then, on the delivery, I know you have mentioned delivery and take out are two separate occasions, not a lot of overlap. So, it’s pretty incremental. On the delivery side, who do you think you are taking the share from if you are consistently seeing this mid to high-single-digit sales lifts?
Charlie Morrison: I think we have taken it from a number of different occasions. I think the key is to get that true delivery customer to convert their occasions away from what they are used to, which could include pizza occasions and convert those over to a Wingstop occasion. But I think, it’s that plus any number of offerings that are out there for delivery and Wingstop being perhaps a preferred option.
Peter Saleh : All right. Thank you very much.
Charlie Morrison: Thank you.
Operator: Our next question is a follow-up question from the line of Matthew DiFrisco from Guggenheim Securities. Please proceed with your question.
Matthew DiFrisco: Thank you. My question is with respect to the development side. I guess, a lot of – some concern there seems to be about a little bit of a slowing in prior quarters. Is the 12% I guess for 2019 or so, is that something there and beyond that you are seeing the pipeline built to that point that that is multiple years out and visibility around that?
Charlie Morrison: Yes, I don’t know that I would provide any insight into what the future outlook is beyond this year and just to call out to the momentum. At the end of Q4, we will report the pipeline as we always do. But I think we’ve noted here that we’ve seen a nice increase in the pipeline in terms of deals sold and the momentum increasing as we go throughout the year and even into this fourth quarter. So, I think that statement is one that is reflective of a confidence in our future growth after going through a relatively tough cycle there. But I don’t want to suggest that that has any indication on further years out.
Matthew DiFrisco: Okay, excellent. That’s helpful.
Operator: There are no further questions in the queue. I would like to hand the call back to management for closing comments. Ladies and gentlemen, this does conclude today’s teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.